Operator: Hello and welcome to today’s BrightView Holdings Incorporated First Quarter Fiscal 2022 Results Conference Call. My name is Daly and I will be the moderator for today’s call. [Operator Instructions] I will now like to pass the conference over to our host, John Shave, Vice President of Investor Relations. John, please go ahead.
John Shave: Thank you, Daly. Good morning. Before we begin, I'd like to remind listeners that some of the comments made today including responses to questions and information reflected on the presentation slides are forward-looking and actual results may differ materially from those projected. Please refer to the company's SEC filings for more detail on the risks and uncertainties that could impact the company's future operating results and financial condition. Comments made today will also include a discussion of certain non-GAAP financial measures. Reconciliations to comparable GAAP financial measures are provided in today's press release. Disclaimers on forward-looking statements and non-GAAP financial measures apply both to today's prepared remarks as well as the Q&A. I will now turn the call over to BrightView's CEO, Andrew Masterman.
Andrew Masterman: Thank you, John. Good morning, and thanks to all of you for joining us. I am particularly happy to be with you all today. And it is snowing heavily in many parts of the country. Well, snowmobile continues in the Northeast following the storm last weekend. As you know, our results during the winter are meaningfully impacted by snow fall. So the current weather can't help us with our first fiscal quarter. It's a great start to Q2 with almost twice as much though in January of 2022 versus the prior two January's and we're very happy to have it. At any strength in Q2, we're built very positive trends that we've seen over the last several quarters and which continued in Q1 2022. That trend is organic growth in the core of our company, our maintenance land business. We are pleased to continue our excellent momentum this quarter with strong maintenance land organic growth of 7.3% with Q1 revenue reflecting a return to above 2019 levels. We expect this performance to continue. Strong execution by our Maintenance Land organization delivered $3.2 million of incremental EBITDA on $40 million of increased revenue. This result is primarily driven by exceptional labor and material management and our organic business offset by fuel escalation and for maintenance service lines that we acquired from recent development M&A transactions, that were not a focal point of those development businesses. We are optimistic this will improve the second half of fiscal 2022. These trends are a result of the culture we have built and of the commitment of our entire organization, from gardeners to leadership team, who are all delivering excellent services to our customers, and so incredibly proud of the BrightView team. Let me begin by reviewing the highlights from the quarter. First, I am pleased to report another solid quarter revenue growth led by 7.3% Maintenance Land organic growth. Continued expansion of our contract business as well as a rebound in ancillary services penetration is a result of the investments we are making and our expanded sales team and sales enablement technologies. This follows Q4 fiscal year 2021 in which we grew organically 9% plus and fiscal Q3 in which we grew organically 11% plus. In short, we have grown from fiscal 2019 Organic revenue levels, despite operating in an environment presented with continued challenges. Second, adjusted EBITDA for the quarter was $42.6 million, down 18.7% or $9.8 million compared to the prior year. The decline was driven principally by significantly lower snowfall across BrightView’s branch footprints, with fresher top line and profitability in the quarter. Assuming an average snowfall during the quarter, our adjusted EBITDA performance would have been towards the higher end of the guidance range provided during our fourth quarter call. The lower end of our adjusted EBITDA guidance range contemplated low snowfall. And in our primary snow market, we did not see any measurable snowfall. Given that we are largely able to provide snow services with our existing fixed cost structure, the impact of low snow revenue, particularly given the geographies impacted, we estimate was a $7.5 million reduction to adjusted EBITDA in the quarter. We will discuss this in more detail later. Third, our total consolidated adjusted EBITDA margin of 7.2% was impacted by lower snowfall totals, higher materials cost in our development segment and fuel expense across your organization. Within these results is outstanding labor and material management by our maintenance team, minimizing margin impact. To offset forecast inflationary pressure, we have implemented a price increase initiative that should benefit the second half of the year. Fourth, the results of our strong-on-strong acquisition strategy benefited our revenue growth by $39.7 million during the first quarter. Unlike other quarters, acquired revenue was heavily weighted to our development segment. We also completed a key strategic acquisition that strengthens our presence in the high growth market. And finally, we announced the $250 million share repurchase program ended January completed the repurchase of 5.9 million shares from MSD Partners at a purchase price of $13.98. The repurchase presented half of MSDs investment in BrightView. The share repurchase authorization does not affect their previously stated and on-going mergers and acquisition strategy and to continue repurchases on an on-going basis for the foreseeable future. Before we turn to the details of our first quarter, let me provide you with our outlook for our second quarter of fiscal year 2021 [Ph]. Our Maintenance Land contract based business is growing and demand for ancillary services is improving. We are encouraged by what we see happening in the market and believe this will result in another quarter of Maintenance Land organic growth of 4% or more. The positive momentum in Q1 Maintenance Land should continue into Q2, and we will deliver incremental EBITDA from both organic and M&A revenue. Snow removal services is the largest variable in our second fiscal quarter, and we are optimistic about our ability to deliver solid results. In our development segment, we were encouraged by the backlog trends we have previously discussed. Because of this we are forecasting approximately 5% organic revenue growth in Q2, as well as more than 5% revenue growth from M&A. The market pressure we have seen from material inflation will continue but at a lessening rate. Looking forward in development, one external tracker we monitor is the Architecture Billings Index. The ABI is an economic indicator for non-residential construction activity with a lead time of approximately 9 months to 12 months. The ABI ended 2021 on a high note as billings increased almost every month of 2021. This architectural activity drives our pipeline of work and is tracking across all markets, evidenced by increasing backlog across the enterprise. As a result, we remain optimistic that modest organic growth trends in the development segment should continue throughout fiscal 2022 and into fiscal 2023. As such, for a second quarter fiscal 2022, we anticipate total revenues between $620 million and $680 million and adjusted EBITDA between $50 million and $60 million. The low end of the guidance assumes light snowfall and the high end assumes average snowfall. Moving now to slide six, as you can see here, we have delivered a consistent level of significant M&A and fiscal 2022 is off to a promising start. During the quarter, we welcomed performance landscapes to the BrightView family. Performance was founded in 2002 and operates on the islands of Oahu, Maui and Hawaii from the main office in Honolulu. Hawaii landscapes are renowned for their beauty and cultural significance and performance provides a full suite of landscape maintenance and enhancements, tree care and irrigation services. The organization has 110 plus trained and verified personnel and an established culture of safety. Performance is the service leader in the Honolulu Oahu market and provides BrightView with a strong foothold in Hawaii. The company has an attractive operating and performance track record and serves clients across the homeowner association, high end residential, commercial and private military housing market segments. BrightView development services has been a licensed landscape in irrigation contractor in Hawaii since 2008. In addition to renovating the Four Seasons in Kona following a tsunami in 2011, Development Services restored the irrigation system for the Hilton Waikoloa Village and resort and perform landscape and architecture work at the Four Seasons Resort Valley. BrightView is excited to add maintenance services to its existing development capabilities on the island. In addition to organic growth, we have grown and expect to continue to grow our business through acquisitions, to better service our existing customers, and to attract new customers. M&A is a critical aspect of our strategy and organic growth. Moving now to slide seven, our strong-on-strong acquisition strategy has focused on increasing our density and leadership positions and existing local markets and turn attractive new geographic markets and expanding our portfolio of landscaping, enhancement services and improving technical capabilities and specialized services. We believe, we are the acquirer of choice in the highly fragmented commercial landscaping industry because we improve great businesses after we acquire them. BrightView offers the ability to leverage our significant size and scale. First, centralized procurement and buying power trucks, trailers, mowers, handheld equipment, power is undisputable. Second, the customer experience and productivity tools. Starting with our CRM and existing platforms, to our customer portals, BrightView Connect and HOA Connect to our Mobile Quality site assessment application. Our field associates have the tools to maximize the customer experience with improved ancillary penetration, leading to margin enhancement. Third, digital marketing tools, strategies and channels lead to greater awareness and more impactful messaging, resulting in more valuable leads and higher opportunity pipeline dollars. And fourth, safety and training throughout the employee lifecycle. BrightView provides stable and potentially expanding career opportunities, and we take pride in our industry leading safety programs. In 2021, over half of our branches went without one single injury. Since 2017, we have completed dozens of acquisitions that position us as market leaders in several key MSAs. We have a dedicated team and a disciplined and repeatable framework. Our acquisitions are accretive and a value creating use of free cash flow. Our strong-on-strong M&A strategy leverages our scalable infrastructure while building on Best-in-Class platforms, processes and people. Our M&A success is core to our top line growth, and we will continue to deliver as we execute our transactions and a strategy we have developed and deployed over the last five years. Turning now to slide eight. The largest variable to our first quarter and second quarter financial performance is snow removal services. Notably, the United States saw its fourth warmest year in 2021, fuelled by the warmest December on record, and this impacts itself to all totals in key markets. According to NOAA, Snowfall totals in inches specific to BrightView’s geographic footprint were down 59% versus prior year at 56% of the historical 30-year average. Our snow removal services revenue of $36 million was down 43% or $24 million on an organic basis offset by $4.2 million of acquired spell revenue during the quarter. WeatherWorks, the industry standard for our customer contracts for billing and invoicing purposes reported snowfall totals in inches map to our specific branch footprints were down almost 73% versus the prior year. Let me -- a few year-to-year WeatherWorks specifics on our largest snow markets and regions. Denver and historically strong and consistent snow removal market, the quarter approximately 2.3 inches of snow during the quarter versus approximately 19.6 inches in the prior year. Chicago recorded approximately 2.7 inches of snow down 39% versus prior year. And in our Northeast Region, snowfall was less than one inch down 91% versus prior year. And we were realized no snow in the mid-Atlantic region during the first fiscal quarter of 2022. Keep in mind, snow margin is driven by many factors, including when, where, how, how much and how often it snows and will change every year. Despite significantly less snowfall on our first fiscal quarter versus last year snowfall totals in January of 2022 were at historical averages and twice in 2020 2021. This drives our optimism and snowfall totals specific to brands footprint during our second fiscal quarter will be near 10 and 30 year historical averages assuming February and March continue this trend. Turning to slide nine, we continue to be leaders in environmental, social and corporate governance or ESG. We truly embrace our ESG strategy and it is embedded into our corporate foundations and culture. As a company that designs, creates, maintains and enhances commercial landscapes across the country, sustainability is central to break news branch and corporate purpose. In fact, environmental and social responsibility and corporate governance has been integral to our company since our founding. We will publish an inaugural ESP [Ph] report next week and are committed to regular transparent communication and I intend to continue providing updates on our progress. Since this will be our inaugural report, let me take a few minutes to review our ESG strategy. Our commitment to environmental, social and governance practices and progress starts at the top with our Board of directors and executive team. And it's a source of pride for every member of our team will bring our commitment to life each day. At BrightView, we are committed to embracing and environmentally responsible practices and making progress towards carbon neutrality. Striving to take care of all team members by providing a safe, inclusive, diverse and engaging work environment, dedicating time and resources to improve the communities where we live, work and play and maintaining the highest standard of ethics and values. Turning to slide 10, let me provide you with some insight regarding our environmentally responsible practices. To reduce our energy and emissions. We are expanding our fleet of energy efficient vehicles, adopting next generation of fuel tracking technology and offering the use of alternative fertilizers. We're also adopting strategies and next generation equipment to help our clients reduce their carbon footprint and meet LEED certification standards. Our commitment to carbon neutrality by eliminating carbon from our operations represents our biggest opportunity to reduce corporate risk, contribute to a healthy environment and be the leader in our industry. Our goal is to reduce our carbon consumption by 90% and become carbon neutral by 2035. We have a five pronged approach to achieving our carbon neutrality goal. First, stewardship. We're actively engaging with industry and suppliers to lead a transformation towards our environmental goals. Sustainability, we're helping to sequester carbon by planting trees and through a sustainable design and maintenance of landscapes, a cleaner fleet or we're converting our fleet of 11,000 vehicles with electric and hybrid alternatives. Greener equipment, we plan to convert approximately 35,000 pieces of two cycle power equipment to rechargeable energy sources by 2025, resulting in a greater than 50% reduction in BrightView’s total carbon footprint. Efficient buildings. In the 300 properties we currently own or lease, placing outdated equipment and appliances with energy efficient alternatives. Where possible, we intend to convert electrical power to our buildings with alternative energy sources, and we are planning to pilot these measures at one of our branches in 2022. Not only this will be significant for our company and for the environment. But by integrating green energy into operations, we anticipate decreasing our equipment maintenance costs, upwards of 50% annually. Turning now to slide 11 let me provide you with insight regarding our efforts to create a socially responsible great place to work. At BrightView, we provide a safe, inclusive and engaging workplace where talented people come to work and advance their careers, guided by our people strategy we are working to attract higher, engage, develop, reward and retain top sale. With emphasis on on-going improvement, we continue to assess our programs and meet the evolving needs of our teams and the organization. As a growing company, a key area of focus for us is fostering a positive, inclusive company culture, which everyone's voices heard. BrightView is committed to attracting, developing and retaining the best-in-class leaders and professionals in the industry. In 2020, we launched BrightView University, our employee development program, which offers courses tailor made for different positions within our company, from landscapers to business development professionals. Through this program, all team members will receive relevant and accessible training to build their skills. In 2021, we began providing additional management, technical and leadership development courses to our employees with a big library online learning program. A key to social responsibility is building a diverse and inclusive culture to make all teams members feel welcomed and valued we are working to increase the diversity of our workforce and investing in initiatives that provide equal opportunities to employees and candidates of all backgrounds. While we continue to strengthen our diversity and inclusion of strategy, we recognize the most important thing we can do is listen and learn. Turning to slide 12 as it relates to corporate governance, we are dedicated to maintaining the highest standards of business integrity and ethical conduct. Adherence to sound principles of corporate governance for a system of checks, balances and personable accountability is vital to protecting great news reputation, assets, investor confidence and customer loyalty. Starting at the top, board of directors has an average tenure of less than four years that reflects our commitment to diversity. Three of our seven independent directors are considered to be diverse, up from zero 3 years ago. Another example of our strong governance is our commitment to compliance. Because BrightView relies on many seasonal workers, ensuring that our employees can work in the United States legally is important to both to us and our customers. E-Verify is a web based system that allows BrightView to confirm the eligibility of our employees to work in the United States. As an E-Verify employer, we can verify the identity and employment eligibility of newly hired employees by electronically matching information provided by employees against records available to the Department of Homeland Security. While, E-Verify is a voluntary program, BrightView is proud to be the only landscaping company that utilizes the program in every state in which we operate. BrightView recognizes that prioritizing ESG is an essential component to meeting the needs of all our stakeholders. Our board, in collaboration with the leadership teams, directs and oversees ESG strategies, establishes relevant policies and practices and monitors progress and performance. I'll now turn it over to John who will discuss our financial performance in greater detail.
John Feenan: Thank you, Andrew, and good morning to everyone. Let me start by reiterating some key highlights for Q1 of fiscal 2022. First, we achieved maintenance land organic growth of 7.3% our third consecutive quarter of solid organic growth. Second, we had improved labor and material management in the maintenance segment. And third, while still challenged, the development segment had quarter-to-quarter improvement from the impact of material cost inflation. And fourth, outside of our CARES Act prepayment within the quarter, we continue to generate solid cash in our head of our plan for Q1. As a firm, we remain laser focused on our key investment pillars of organic growth, margin enhancement over time, mergers and acquisitions and cash generation. With that, let me now provide a snapshot of our first quarter results. Moving to slide 15, first fiscal quarter 2022 revenue for the company increased 6.7% to $591.8 million in the current quarter from $554.4 million in the prior year. Maintenance revenues of $438.2 million for the three months ended December 31 increased by $20.2 million, or 4.8% from $480 million in the prior year. The increase in maintenance was driven principally by strong contract growth, as well as a continued rebound in our ancillary services, which lead to 7.3% Land organic growth. Additionally, we realized $17.8 million of incremental revenue from acquired businesses. For the three months ended December 31, development revenues increased $17.3 million, or 12.6% to $154.7 million from $137.4 million in the prior year. The increase was driven by the $21.9 million contribution from acquired companies. We remain encouraged by our bidding pipeline and bid calendar and we anticipate increased stability during the second half of fiscal 2022. Turning to the details on slide 16, total adjusted EBITDA for the first quarter was $42.6 million, down 18.7% or $9.8 million compared to the prior year. In the maintenance segment, adjusted EBITDA of $45.3 million was down 8.7% or $4.3 million from the prior year. Solid contract growth and a continued rebound in our ancillary services drove a $3.2 million improvement, which was offset by significantly lower snowfall across our branch footprint. The snow impact for Q1 was approximately $7.5 million. Assuming normal historical snow, we estimate our Q1 adjusted EBITDA performance would have been $50.1 million and towards the high end of the Bright [Ph] guidance range, more on this shortly. Driven by the dynamics just discussed, adjusted EBITDA margin of 10.3% was down from 11.9% in the prior year. In the development segment, adjusted EBITDA decreased $2.6 million to $14.5 million, compared to $17.1 million in fiscal Q1 of 2021. The decline was principally driven by higher material costs as a percentage of revenue. Adjusted EBITDA margin of 9.4% was a reduction compared to the prior year levels of 12.4%. For fiscal Q1, corporate expenses represented 2.9% of revenue. Let me dive a bit deeper into our snow business and provide additional snow data and metrics that highlight what we feel is a valuable part of the BrightView story. On slide 17, we show the build-up of our pro forma results assuming historical 10 and 30 year average snow results. This is further refined, as we base this NOAA data over that time, specific to our branch footprint. We estimate the result would have been adjusted EBITDA of $50.1 million for Q1, which was at the higher end of our guidance range. Let's move now to a balance sheet and capital allocation on slide 18. Net capital expenditures totaled $27.5 million for the quarter ended December 31 up from $9.1 million in the first quarter of fiscal 2021. Expressed as a percentage of revenue, net capital expenditures were 4.6% in the first fiscal quarter of 2022, and 1.6% in fiscal year 2021. Like many companies, we continue to face supply chain constraints pertaining to our equipment orders. Combined with multiple years of below historical average capital spending, and continued growth in the maintenance segment. As discussed last quarter, we continue to anticipate capital expenditures will be approximately 3.5% of revenue for fiscal 2022, which is within our historical guidance range. In the first fiscal quarter of 2022, we invested $6 million on acquisitions. Net debt on December 31 2021, was approximately $1.1 billion flat versus the end of the first fiscal quarter in the prior year. Our leverage ratio was 3.8 times at the end of the first quarter of fiscal 2022, down from four times at the end of the first fiscal quarter of 2021. For the first quarter of fiscal year 2022 free cash flow usage was $49.9 million. This was driven by a $33 million year-to-year swing from the CARES Act repayment, as well as a strategic increasing capital to support our continued organic growth. And update on liquidity is on slide 19. At the end of the first quarter of fiscal 2022, we had approximately $207.7 million of availability under our revolver, and $132.8 million of cash on hand. Total liquidity as of December 31 2021, was approximately $340.5 million. This compares to $324.2 million as of December 31 2020, and provides us with ample flexibility and optionality. Before I turn the call over to Andrew for closing remarks. On slide 20, I would like to address margin erosion in our development segment, a topic that I suspect continues to be on the minds of many of you on this call. We are in a difficult inflationary environment. But let me share with you how we are actively mitigating these headwinds. The main contributors to margin erosion in -- segment were organic revenue declines due to macroeconomic slowdowns in the construction market, and increased material costs as a percentage of revenue due to supply chain pressures. Other costs primarily labor have been effectively managed. Historically, material cost estimates and development bids were honored from the time a bid was submitted until it was accepted to the completion of the project. Many current development projects were bid on in one 12 months to 24 months ago and we have a little flexibility to renegotiate bids after the fact without potentially damaging long term client relationships. As we move forward, and as we mentioned in our last call, the development team is shortening the expiration date for the bid price window to 15 days including more specific cost escalation, language and bids to provide protection against potential continued inflationary dynamics, shifting from a just in time buyer to an advanced purchaser of materials within 15 days of the contract award to reduce the risks associated with future procurement and increasing collaboration with vendors to better anticipate material costs, trends and expectations. During the first fiscal quarter of 2022, we witnessed some early indications that we are trending in a positive direction. Our adjusted EBITDA margin contraction in Q1 2022 was 300 basis points, compared to a 480 basis points contraction in Q4 of 2021. We are confident that the materials input inflation that has put short term pressure on the business is transitional, and importantly, that our efforts will help to offset these headwinds. With that, let me turn the call back over to Andrew.
Andrew Masterman: Thank you, John. In summary, here are the key takeaways on slide 22. First on the market, the landscape maintenance market has a resilient nature and BrightView is growing at rate significantly above the industry. The landscape development market is showing architectural and bidding activity at levels which will support significant growth for BrightView as the industry leader. We are optimistic about trends we see across our segments. Second growth, our 7.3% land organic growth in Q1 is our third consecutive quarter of organic expansion and believe we will sustain above industry average growth rates for the foreseeable future. The investment in our salesforce, combined with increasing use of omni channel and digital marketing continues to deliver year-over-year improvements, and our opportunity pipeline has expanded hundreds of millions of dollars in the last year. The intense customer focused culture within the company is also driving up our retention rates, and combined with our sales performance is creating a reliable source of sustainable growth. Third, technology. We continue to deploy best-in-class customer engagement and operational management solutions. Our technology is successfully enhancing productivity, profitability and client engagement. We recently kicked off the next generation investments in BrightView Connect 2.0, which will deliver highly requested enhancements for our customers in 2022 and will continue to differentiate BrightView’s digital capabilities. Fourth, sales and marketing. In addition to technological enhancements, we continue to grow and invest in our sales organization and expand the use and effectiveness of our sales tools. The result is increased efficiencies while positioning us to continue to deliver profitable growth. The improved productivity should lessen the need to expand the salesforce at the same rate as the last several years. Our sales and marketing strategies and structure are a formula for the long term success. Fifth, in M&A the results of our acquisition strategy continued to benefit our revenue growth and with an attractive $600 million plus pipeline, acquisitions will continue to be reliable and sustainable source of growth. We have added strategic locations and [Indiscernible] enhancements throughout the United States and believe the deals we are currently negotiating will expand our presence and our depth of landscaping services across the country. And fifth, cash. We continue to generate significant cash and we'll focus on utilizing our strong balance sheet driving profitable growth through M&A, share repurchases, and potentially looking at other ways to return capital to stakeholders. I remain as optimistic as ever about our prospects. I thank our teams for their dedicated response to the -- storms and their continued attention to designing, creating, maintaining and enhancing the best landscapes on Earth. Thank you for your interest and for your attention this morning. We will now open the call for your questions.
Operator: Thank you.[Operator Instructions] Okay, so we do have our first question and it comes from George Tong of Goldman Sachs. George, please go ahead.
George Tong: Hi, thanks, good morning. Can you provide updated details and how contracted landscape maintenance revenues now compare versus pre-COVID levels? And how ancillary maintenance revenues have been impacted by Omicron?
Andrew Masterman: Sure, and good morning, George. Now, we’re at a pace we’re running at George, we are actually operating above pre-COVID levels. So we're happy to say that we are back that the organic growth trends have improved to the where we're growing to places we've not been before. We're pretty excited actually about where that's and that’s across, certainly in our contract business. I mean our ancillary business actually if you look at the first quarter, it's actually performing at a very strong pace as well. So that gap between 2019 and 2020, we filled it. And we're back; we're back in the saddle.
George Tong: Great. You talked about shortening the expiration date for bid prices in the development business to better adapt for rising input costs. Can you highlight your strategies to respond to rising input costs in your maintenance business, particularly around labor, and how pricing changes will mitigate the headwinds?
Andrew Masterman: Absolutely. In our maintenance business, if you talk about I'll take it the both material and labor. Material costs tend to be more in our ancillary portion of our maintenance business, and thus, our bid in a much shorter and a much shorter window. Usually within four to six weeks of installation, we're putting the bids together. So they're very current costs, and they reflect the current per acquisition of those materials in those bids. So we believe we are actually facing or really addressing the inflationary positions on material with a maintenance and, and so don't have any of the negative impacts that you see long term fixed contracts that we see more in our development business.
John Feenan: Yes, and George, this is John. I think one of the things; you've heard it in our comments. We're doing a really good job in managing the labor, we feel in both segments. The other thing that we're focused heavily on is doing more in house labor versus subcontractor, which tends to be more efficient for us, and it has less drag on the P&L. So we made progress on both those fronts within the development segment and the maintenance segment within the poor. And we're going to obviously continue to try to do that going forward to offset some of the escalations that we've seen.
Andrew Masterman: Addressing your last issue on pricing. George, we were going on a very deliberate, and focused approach to engaging with all of our customers, showing that the cost inflation that we've seen in labor and materials are things that we need to address and really work together with the customers on being able to cover those inflationary costs. That effort right now is worth right in the thick of it. And most of those are dealing with contracts as they renew, most of which renew, kind of in the March, April May timeframe as new landscapes come into play. So we expect to see that offset some of those deflationary aspects in the second half of the year.
George Tong: Got it. Thanks very much.
Operator: Thank you, George. Our next question comes from Shlomo Rosenbaum from Stifel. Shlomo, please go ahead.
Shlomo Rosenbaum: Hi, thank you very much. Good morning. Andrew, maybe you could comment a little bit about how does the ancillary services as a percentage of total in maintenance, how does that compare to what we saw on a pre-COVID level? Are we back to the kind of two thirds, one thirds in terms of contract versus ancillary? Are we still kind of trailing that, so I’m looking at it more like an a customer by customer basis, as opposed to just know the whole company just to gauge where we are?
Andrew Masterman: Yes, I think, in general, the shape of the business has returned to kind of pre-COVID levels. That’s pretty much across all segments. We used to we clearly saw an impact in the hospitality of retail verticals, during the height of the COVID pandemic. The reality is, I think you can see it is that those segments, especially in the resort areas, have seen like a rebound. And we've been able to go back and go and work with those customers on identifying areas in their properties which continue to differentiate them. So that kind of mix that you said two thirds contract, one third ancillary. That's pretty much where we're operating at. And we feel back in kind of a normalized pace, who would expect that to continue as we move throughout the year, and that we're back to the normalized operating rate.
Shlomo Rosenbaum: Great. And then how much longer based on your work, what you see in the future, with the contracts that you had bid on the pre-inflationary. How long is it going to take for you to cycle through those contracts? In other words, you have to fulfill the contracts where you've made a commitment in terms of the pricing, before the inflationary environment really started to take off. How long will it take you to really get those implemented so that we won't have that weighing on the numbers?
Andrew Masterman: We would do a deep dive on that actually going in and working with all of our branches. We would expect, we saw an improvement for coordinated bits that we had a bit of interaction in this quarter. We would expect that to continue to improve slightly over the course of the next several quarters, and we'd expect really it's going to be late in the second half you know probably into the first quarter of 2023, before we seek really fully getting out of that, but we do expect the impact to lessen over time.
Shlomo Rosenbaum: Okay. And then in terms of development projects, what's going on with the construction? Are we seeing, is it really delayed? Are you seeing more delays now? Are you seeing any areas where it's accelerating? How should we think about that in terms of like, kind of a timetable, or your visibility to when you'll actually be able to get into the projects, as it's, since you guys are usually the last ones, kind of the capstone on the project?
Andrew Masterman: Yes, I think the delays that we're seeing now in the development sectors segment are actually less COVID related, and they're more just labor availability of our of the other subs for us. And so that's the uncertainty sometimes, subcontractors before us actually get in and get done on time. There are places in the country where they're doing very well. Some of the construction companies and the general contractors do a fabulous job of getting those bodies. Just some of when you take the broad brush, the broad scale that we do landscaping across the country, there are pockets where they they're not quite as on top of it as, as we are, we're ready and primed to go. That's the fortunate thing is the second, the projects and the subs before us get done. We're ready to go. We are seeing a lessening of that impact relative to where it was let’s say six months ago. And so we are optimistic about being able to post 5% organic growth in the in our development segment as we look forward.
Operator: Thank you. Our next question comes from Tim Mulrooney from William Blair. Tim, please go ahead.
Tim Mulrooney: Good morning, Andrew, John, a couple questions. I apologize if this one's been asked already, but 7% organic growth in your maintenance green business in the first quarter? Can you walk us through how organic growth in the business trended through the quarter? And any more recent color you could provide on January?
Andrew Masterman: Sure, absolutely Tim and good morning. If you look at it, I've put into three months, October is our busiest month. And that's just due to the nature that we were still kind of in the fall mode. And so just naturally, what you'd see throughout the quarter is clearly our seasonal market kind of slows down. And our evergreen markets continue moving right forward. So what I would say is, is that, in general, we're seeing a positive pace, again, 7.3% growth over the whole business. And what we did see, I would say Oh, in November and December. Well, the magnitude, the dollar magnitude is the biggest of October, we're actually seeing an improving profile over November and December, which that's why that gives us optimism as we go into January, February, March actually cascading goals. So as I said, overall, dollars wise, October is the biggest, but an improving trend as we go through November and December when it comes to the growth picture.
Tim Mulrooney: Yes, that makes a lot of sense. And I think if I remember correctly, your guide was like 3% to 4%. And you come out with 7%. So it makes sense if things improved throughout the quarter relative to your expectations. And now, I guess your guide is 4% plus, but there's a plus there. Okay.
Andrew Masterman: And yes, the reason the pluses. It just -- in the season the markets, you just don't know exactly whether the snow whether it comes in fast. And if it's a little lighter spell in March, it allows us to really accelerate some of that growth into the March period.
Tim Mulrooney: Okay, okay, that's helpful. And then one more for me, Andrew. It looks like your deal pipeline has grown. In the slides I think it's at 600 million today up from 400 million. I don't know, a year or two ago. Is this kind of because you've expanded your internal M&A capabilities? Or is there something broader going on here in the marketplace where there are more folks coming to the table and being willing to have the conversation about selling versus a couple years ago?
Andrew Masterman: It really comes down to our match rate. And we're maturing, and our approach to M&A, and ratting [Ph] people. So the thing is, we've enhanced over the last couple years we've enhanced and built out our dedicated team. We've actually added another business developer, when I call the M&A business developer going out searching for deals. I think now also we've established a reputation. And that's I think the biggest thing you have probably stimulates the M&A market is that we have a reputation for being extremely fair, extremely straight forward and the purchaser reports. Really it's the people have heard we've done almost 30 acquisitions over the course of last five years. And that's success breeds a reputation where people prefers to come to BrightView as others.
John Feenan: And Tim, good morning, this is John. The other thing I would add to Andrew’s comments is exactly what he said. We're getting more people reach out to us directly. Whether it's through our M&A team directly to myself, directly to Andrew. And I think it's a causal of everything that Andrew talked about what we've been able to demonstrate over the last three or four years.
Tim Mulrooney: Yes, so you think it's more internal to BrightView than the specific to BrightView than any real change in the market? Can you touch on how valuations have trended relative to the historical average?
John Feenan: Yes, we're staying right within that window of five to seven times. We’re being very disciplined. Very matter of fact, every now and then for a deal that may be a little bigger, we may go a little higher. But again, that's on a pre-synergistic basis. So these are still going to be very accretive for us. But we're for the most part Tim, we have not wavered out of that five to seven times.
Andrew Masterman: Our as people come into the marketplace, obviously, expectations, sometimes to sellers go up. And frankly we stayed very disciplined. The amount of opportunities out there are so big, that we don't have to go out and pay up some of our other competitors that might go and pay up for because we have the companies approaching as John said. They are approaching us and we have a reputation. Those companies -- those other companies out there that compete with us in the M&A marketplace may not have the reputation, may not have the balance sheet, may not have the ability to create career opportunities and the track record of what we have in the business. So frankly, they have to pay up to be able to attract them to deal with another buyer rather than ourselves.
Operator: Thank you, Tim. Our next question comes from Justin Hawk of Robert W. Baird. Robert, please go ahead. Justin, please go ahead. Sorry.
Justin Hawk: Two questions. Okay, so thank you for all the color so far. The question I had, just looking at the lens for Q2. If I use the map, 4% Organic land and 5% for development, organic, keeps it flat. I get over 670 million of revenue versus the 620 to 680 guide. So given the M&A was pretty material here in the first quarter. I was hoping you could give us some commentary on what the inorganic revenue contributions you are expecting for Q2, and then maybe also based on acquisitions you closed last year, or the one you did earlier this year? How much total revenue contribution are you assuming from M&A for 2022?
Andrew Masterman: Yes, one thing as you look at the guide that we have out there is recognizing last year, the snow is slightly above average in total for the quarter. So on a year-over-year basis, I would, I would I definitely would take that down a portion whether that's 10 to 15 [Indiscernible]. So this compares to ordinary February, when we look at the midpoint of our guidance. So [Indiscernible] further delivery on snow. And when it comes to our assumptions, acquisitions, I think what you guys think about is A, number one is primarily weighted more towards our development segments, as it has been significant kind of deals which are rolled into development. So I think it's going to be kind of a balance between the two. But I think overall, when you look at that, it's going to be somewhere around $15 million or so when it comes to development. And then on the maintenance side, that’s probably a similar number too. So, so right around $30 million, but again, much of that depends, they're working. So the risk elements still there and it also depends on the ability of that entity or somewhere between, let’s say $25 million to $30 million in total.
Justin Hawk: Okay, yes. That's helpful. And I appreciate that on the February headwind. I mean, it's snowing right now. So hopefully that helps. On A, you talked a lot about the inflationary costs on the development side and particularly on materials, labor, we just get them that you're going into or you will be in the next couple of months. Your seasonal hiring time. I think last quarter you were saying that the rate of labor inflation was running kind of 7% range in the second half of 2021. I'm just curious if you're seeing kind of a similar level of wage increases this year, or is that increased or decelerated? Anything you can give on the outside?
John Feenan: Yes, Justin, I think again, it depends on certain parts of the country. But if we go back and look at what we experienced this time, we were slightly over 4%. We've had some quarters between now and then where expense certainly, above that. We've been assuming that we're going to see at least 5%. Could we have a quarter where it's higher than that because of timing? Sure. But I think that's kind of how Andrew and I are thinking about it a little bit higher than what we've experienced over the last three or four years when it was about 4%. So 5% plus, is what we're thinking about.
Andrew Masterman: And that's what we're looking at, as we're talking with customers on price increases, to make sure that the price increases, we're getting adequately covers those kind of inflationary aspects that are out there. And fortunately, so far, the negotiations are gone. And we're just again, in the middle of them. We're really optimistic about what our customers are cooperating with us to make sure that the cost inflation that we see are being covered but with big brush.
Operator: Thank you, Justin for that question. Next question comes from Hamza Mazari of Jefferies. Hamza, please go ahead.
Hans Hoffman: Hi, this is Hans Hoffman filling in for Hamza Nazari. So my first question is, can you just talk a little bit about your technology journey? And I guess, what's behind you what's yet to come? And if you're starting to see some of the benefits from tech spend in the margin line or on operating leverage?
Andrew Masterman: Yes, we, we have absolutely invested significant dollars in new platforms and new operating technologies that we see across the board, whether that's internal or whether it's customer facing. And no question that, actually over the last several years has many of our internal our internal investments when it comes to efficiencies around one operating system, when it goes into our ability to capture time, whether electronic time capture those kinds of things, I think fueled some of the margin expansion we saw several years ago. So we're actually very pleased right now, where those investments actually did generate nice returns. I think, as we look forward, and where we see things going forward, is the new BV Connect 2.0, which is really a customer portal, which is the unique experience that customers will be able to have, with BrightView. Being able to engage with us across their entire customer relationship, whether it's ancillary services, whether it's service verification, whether it's history of bids, whether it's your financial relationships, or frankly, whether it's relationships, and who is servicing your account, contact points, and pictures and the videos on things that we do throughout the entire property we manage. That's all going to the web and going to be digital customer. We're really excited about watching us now be probably in our Q3, Q4 timeframe, really taking BVNA to re connect to the next level, that's coming. We also just recently introduced our QSA, which is our Quality Site Assessment 2.0 software that was launched in the winter, or I should say last quarter in Q1, which allows our account managers to regularly communicate and again in a digital way property health, and what's going on and how in the property. The dynamics of the horticultural intensity of the issues that we're seeing are potentially opportunities for enhancing the entire property. That digital and seamless coordination was launched in Q2. And when we expect that for Q1, we would expect that as we mature the usage of it to continue to see it manifest in ancillary business as we look at ways which we can truly enhance properties. So that's more on our revenue growth side standpoint to basically support the overall business and our customer engagement. We're really excited about where technology can take the business because those are things when it comes to, again, one operating system, one system to the whole company, electronic time capture, which is a little bit more internally focused. These two other platforms have QSA 2.0 and BV Connect externally focused. And those are other things when it comes to technology such as autonomous mowing, and some things that we see coming into the future over the next several years, which will continue to have, that will have some margin impacts, not quite ready for primetime, but we believe that's going to have some significant margin impact as we can take labor out of the business and put autonomous mowing into the business. But that's probably more so in the 2020 24, 25 timeframe.
Hans Hoffman: Got it? That's helpful. And then can you just maybe talk about what margins on ancillary looks like, again, I guess, versus maintenance and how big ancillary is today versus pre-pandemic levels? And maybe historical peaks, if any?
John Feenan: Yes, this is John, I'll take that. I mean, I think our mix, as we said, it's been about one third, two thirds ancillary versus contracts. That's been pretty consistent certainly was in Q1 when you go back and look at it what it was in Q1 of 19, and 20 versus Q1 of 2022. From a margin standpoint, we don't disclose specifically the ancillary margins, but I will say Hans that they tend to be slightly better than our contract margins, we've been able to maintain that discipline. And the other thing that we focus on that we’re is our penetration rate, we don't disclose that as well. But the penetration rate, meaning the percentage of ancillary dollars to contract dollars, has been very, it's been getting better. And that's that we're starting to see that comeback, which was -- were in Andrews prepared comments. And we expect that to continue throughout the year and give, quite frankly, more historical levels in Q3, and Q4, which are the real good quarters for us when we get past the seasonal snow piece.
Operator: Thank you for your question. Next question, we have Andrew Steinerman from JPMorgan. Andrew, please go ahead.
Andrew Steinerman: Hi, Andrew. I wanted to go back to your comments about price, price increases and the ability to cover wage inflation the second half of the year in your maintenance visit. My question is do you feel like spending with a typical maintenance customer will go up about 5%? Or do you feel like with the contract price going up, they might get more selective about their ancillary services?
Andrew Masterman: That's a really good question. When you look at the balance, I think there's an acknowledgement right now, which has been different over from less of a years, it just overall inflationary pressures are hitting the business and an acknowledgement that the property also needs to be maintained as a certain level. We have not seen a downtick in ancillary services, because of the pricing increases that we see going out there. So I can't, there are portions of our ancillary business, such as, irrigation management, tree service management, fertilization, those tend to be ancillary lines. So those while they are certainly in our ancillary portion, they're really less there, some of us discretionary. And so, I really, and I think the magnitude of the increase that we're seeing, again, with an overall inflationary environment in the country right now, we're not seeing an indication of ancillary reduction in our pipeline of ancillary projects. So I'm not anticipating a big picture.
Andrew Steinerman: That makes total sense. Thank you so much.
Operator: Thank you, Andrew. Our final question comes from Bob Labick of CJS Securities. Bob, please go ahead.
Bob Labick: Thank you. Good morning, I wanted to follow up on the pricing and just talk a little bit about competition, particularly in the maintenance contract, pricing the annual renewals. So you'll be going into shortly given the fragmented nature of the market, how are competitors reacting to the higher wages and higher costs? Are they seeking to raise prices on their renewals? Are they thinking lower margins? Or do you expect them to and how is this going to impact your strategy on contract, renewals and pricing going forward?
Andrew Masterman: Good question Bob. When we really look at the marketplace, in any given market, we have four to five solid competitors that are compete at the higher end and in the commercial landscaping market. Those competitors are professional companies; they actually become mostly our acquisition candidates that we look at. Those companies are following kind of looking at normalized levels of price increases that we see in most cases. Of course, you may have particular target customers, which are competitors might want to go in and, and take an opportunity to try and cover it. But the reality is they're facing the same economic pressures we're facing in the labor market, in the material market. There's no difference what they're facing. So long term strategy, they might be able to take a customer by taking a price down or not having an increase but you can't that isn't a strategy for long term success in the competitive market brand in the competition that we compete with. So we have not seen broad base, a broad based impact on that. We've seen, frankly, what we've seen is we've seen our retention levels actually improve as we go forward. Although I will say though, there have been some bit of a turn that in the marketplace. So I would expect that to be the case, just given the dynamics of where people think about. So overall, though, our overall business remains healthy. But we talked about before our net new, which is our wins minus our losses, continues to be in a positive trajectory. And we feel supports and organic growth rate of 4% plus as we look going forward for the next several quarters.
Bob Labick: Okay, great. Thanks so much.
Operator: Thank you, Bob. There are current -- is registered. So I will hand the conference back over to Andrew Masterman for closing remarks.
Andrew Masterman: Thank you, Bailey. Once again, I like to thank everyone for participating in our call today and for your interest in BrightView. We look forward to speaking with you when we report our second quarter results and everybody think snow. Stay safe and be well.
Operator: That concludes the BrightView Holdings Incorporated first quarter fiscal 2022 results conference call. You may now disconnect your lines.